Ana Ribeiro: Good afternoon to all. We have a lot of people connected to hear our results. My name is Ana Ribeiro, Head of Investor Relations at BrasilAgro. We're here to talk about the earnings in Q1, the harvest, our financial statements follow the harvest year to minimize the impacts of seasonality, planting and harvesting. So here we will be talking about Q2 2023 and first six months of the same period. For those who are hearing in English, the presentation is available in chat. So the presentation is available in the chat for those who are following us in English. Today, we have our CEO, Andre Guillaumon; and Gustavo Lopez, our CFO, to explain to you a little of what happened in the last few months and talk about perspectives for the future. Thank you. I'd like to pass the floor to Andre. Andre, you have the floor.
Andre Guillaumon: Thank you, Ana Ribeiro. I'd like to thank you all for participating. I'll comment the earnings, bringing the company's numbers, the expectations. Ana used a very wise word seasonality. Seasonality is a characteristic that is inherent to agro business. And we will explain some important numbers and some of these things have to do with seasonality and also the decision to sell. And I hope that at the end of the call, we will have questions. We continue believing a lot in the company's results in the company's business. We will have a quarter with interesting points about sugarcane. But surely we'll see the meaning of these numbers. Another challenge, companies like us who have a double strategy, operational results plus sale of farms, real estate happens, the sale of real estate. It happened. We made a small sale, and of course, the objective is to really take the decision to sell at a time when we have a good liquidity in the market. Let's see the highlights. We need a lot of time for the questions. Financial highlights. We have net revenue R$484 million, net income R$29 million, adjusted EBITDA R$124 million. We had a sale, a small sale, approximately 900 hectares. A sale in Rio do Meio, sold for R$62.4 million, showing once again, reminding you, this asset came from the purchase we made. We sold part of this land previously. And once again, we have a good result selling another part. Operational highlights. In the semester, we finished planting grains. Here we have cotton also. So everything that was planted in the semester until December 30. We still have some grains -- some grain, the end of the planting in Paraguay and which is not included in this number, but these are important highlights. A little later, we will talk about what is happening in this harvest. Next, when we talk about what we expect for this year and the next years, the earnings, we have important sustainability in commodities when we talk about soybean, we're talking about a super harvest more than 150 million tons in Brazil. But when we look at international levels, we have 4.5 million tons in inventory in the world. We have a super harvest. We have also Argentina with an important drop in the harvest. And this is positioning, this is affecting Chicago in an aggressive way. Brazil has a record of a 100, a little over 150 million tons. And every day, the number surprises yes, but the number was around 430 million tons, 435 million tons. Someone said, I'm speaking a little low. When we looked at the other commodities, we have a drop, a small drop in the price of cotton. This is linked to inflation, to restrictions due to the Coronavirus. So it's a commodity that is going like we always say it is -- has a stable price. So also we have the China effect and ethanol. Ethanol is a highlight. We will talk a lot about this here. We have many effects, but especially 10 taxation and talking about taxes. No one likes to talk about taxes. Our tax burden in Brazil is going down. But this brings competitiveness for non-fossil fuels with a carbon footprint, which is low. So in fact, if we are concerned with the climate around the world, so this is one of the points that will bring transformation. Here we show the behavior of the curve. Next, when we -- it's important when we talk about seasonality. We're in a harvest where we had a cost of planting. I don't remember such high prices for planting during my life. All the farmers paid a premium in to be able to plant the purchase of fertilizer during last year for this harvest now in progress and we begin to see signs of fertilizer prices going back to historical levels. So we saw a math going from 400 to 1,200. The company really bought at 950. But when we look at chloride, we bought a little before the war. I already mentioned this. And urea, seasonality. What I would like to highlight a graph that is here where we see the numbers, the number of tons per bag. When you have stable prices for soybean, we see this relationship between product and fertilizer, going back to levels that are close to historical levels. And this will give us a recovery in the margins for farmers bringing also liquidity. And we will be talking more about this. Well, just a little information here just to fertilizer was a concern. We have bought everything and we're now buying some fertilizers that we believe are strategic and we have seen some changes in the prices. And we'd like to remind you, when we decide to buy fertilizer, we look at contribution margin. So we always make the decision based on how much we will sell. So this is a new slide that we're including showing once again the company's concern with its business and also sustainability. As I always said, sustainability is in the company's DNA. A company that developed -- develops land in frontier regions and also is concerned about social issues. We're the first company to be part of the Novo Mercado in the SEC and I will show you highlights for each one of these lines. The highlights for harvest 2021, 2022, 2023 in the environment, we determined to do the first report, the inventory of greenhouse effect gases. This is fundamental for us to measure to begin working on this and to be more efficient as the years go by. In the social -- concerning social issues with our institute, we have a summary in the institute; we're closing the semester here. In the institute, our projects are annual projects. So we have this highlight, the institute led by Ana Paula and her team, Tanya and Carla. We help more than 18,000 people. Reminding you that there is a focus on education: education, building schools, preparing teachers in the regions where we are working. In governance, not only due to new regulations from the SEC, in Brazil, the CVM. We had the approval of transactions with related parties. This also is very good for the investors. Also we have an audit committee now and the maintenance of the tax committee. On the same page, what do we have? We have the metrics. We hired an outside company that does this -- does these reports on materiality. Eight points are analyzed in this metrics. Eight points beginning with health and in the workplace develop -- people development also greenhouse effect gases, climate changes, compliance, management of water resources, relationship with communities. So what changed from the previous metrics to the current metrics? It included the SaaS methodology. So a new balance, some factors were included in the metrics. One thing that is new innovation and technology productivity we already had. Now it is more important greenhouse effect gases relationship with communities in biodiversity. So what do we do with this? We bring this inside the company and we work with a company's management and also civil society. We work on an action plan. We work on an action plan, and then we will have new surveys and make the necessary changes. Well, here it's important to say that we're preparing the company more and more. We will show the growth, but the company this year is investing more than R$85 million. And here we separated some Groups. I'd like to highlight when we talk about technology, we had projects in connectivity and important projects for monitoring and mapping in a just in time way. Also in technology, bio inputs in infrastructure, we are building -- we are now an important producer of soybean. We had a very small production of seeds for our units. We were a small producer of seeds. We're expanding this. We want to be able to supply seeds that are our own seeds certifying this. Initially, we want to have a production unit for seeds for our needs. And this one has to do with the following. When we talked about irrigation, this is in a unit where we have an irrigation project that allows us to improve the production of seeds. Some that we have some seeds that we use are difficult to replicate. So we're checking all the units where we have irrigation to produce seeds. I'd like to call your attention. The company is beginning to have a more integrated vision, looking at where we can be more efficient within the chain and where we have value we're analyzing and working on this. The company also most of these R$85 million in investments are being invested in transformation during the semester, we increased land. We acquired Panamby farm in a partnership also Regalito, we acquired in Mato Grosso, Panamby and Fazenda Regalito and SÃ£o FÃ©lix do Xingu and SÃ£o Domingos farm new region in the West of Mato Grosso. So these are 15,000 hectares that are now in operation that we transformed. And we'd like to remind you, all these units will plant the second crop. So 15,000 hectares is a physical area. A little over 15,000, almost 16,000, 17,000 hectares are being transformed. Well, I believe that here we have a highlight in spite of being a company that sells acids. When we look at the graph on the left, we went from 134,000 hectares to 170,000 hectares in the last five years. So this is a highlight the company had the capacity to add a little more than 22,000 useful hectares. When we add the growth of area even with sale, we saw the company's capacity to always increase its capacity to generate value to investors. And in the pie charts we have here on the right, the breakdown of crops, the company is more and more diversified now due to volatility in prices in commodities. The graph on the right shows areas that that are ours, areas that are leased to third parties. So our objective, I already mentioned this many times, leasing must mitigate volatility. Our own land reduces the need for captive. So it's a win-win situation. Well, here everyone's interested to see what happened with sugarcane and the harvest. The harvest, a 100% of the planting is over. We finished planting within the windows that we call ideal planting windows in Brazil and in Paraguay. We began the harvest. We began the harvest for soybean, especially in Mato Grosso, a little in Xingu. We have been harvesting since January 11 with very good productivity in a certain way. The company is not different from Brazil in the last few months -- in the last five weeks, all the production units are working and we saw this in many regions in soybean has been spectacular. So we have a problem in the South. We don't have production units in the South where there are problems. And as I always say, there we still have some work to do, but we can see that the harvest will be very good within the company. Rainfall has been good. We have seen rain that was present in the central part of Brazil and also in the North. And we see La Nina losing strength. The ideal world for farmers for those who don't know is to plant with La Nina and harvest during El Nino. So La Nina anticipates rain and El Nino does the opposite. So we're -- we have a more neutral situation, which will certainly make the rainfall continue and this will affect productivity in the second crop and will also help a lot in sugarcane. Next, please. Well, here we begin to see some more color. Fundamentally, let me see if I can use the mouse. Beginning with tons produced, we have a drop. We had foreseen in our release, we had foreseen this drop and we had an impact, especially you who follow us. Some of you follow this sugarcane crops. We had a drop in the center in South and also in MaringÃ¡. MaringÃ¡ in the North, maybe rainfall, and also a fire that we had during the harvest. When you have a fire, you don't lose sugarcane, but you have to anticipate the burned sugarcane. You anticipate maybe a sugarcane that was going to grow during 12 months. You have to anticipate, for example, and you have to harvest cane with eight months. This has an important impact in productivity and also an important impact in the sugar content ATR. The great highlight later on we will say more. What I'd like to highlight in this slide, in this drop in productivity later on we'll have a vision looking at each year, and I say 2021 for every farmer was a spectacular year. We had a combination of productivity in the case of sugarcane and also high prices, a very positive price for the sugarcane sector. When we look at the harvest drop here, well, from 132 to 124. But when we look at every, at six months, we see a drop of from 145 to 140. So this is the impact. Later on we will explain in detail. But first, we're in the -- we have six months already. As we said, two-thirds of the harvest was already harvested and we have the sale of the previous harvest. When we look at six months, 2023, we have a profit of R$29 million and it's important to tell you about expectation the company had concerning this number. When we compare with the same period last year, we see a large difference. But in terms of inventory, we had soybean 35,000 tons, 620,000 tons of corn. This inventory was sold at the soybean with the same price, very similar prices to the previous year. In the case of corn, a little higher than we had reported in the previous year. And we saw a contribution margin that was a little lower due to the increase in the prices of fertilizer, especially in the second crop. And we understood this expectation for a better sale, when you would represent R$90 million. And in fact, we were able to carry out our plan. When we compare this with the previous year, we add 50,000 tons extra more in soybean. We have to remember that the costs that we had R$3,600 per hectare prices, the price of soybean bags went to R$160. We had a result of R$90 million more in the six months of the previous year. So there's a difference between what we estimated and the operational EBITDA. We had a difference in sugarcane. In sugarcane, Andre said we had already foreseen 100,000 tons less in production. This had an impact of R$50 million when we compared with the same harvest previous year. We knew R$25 million actually, R$15 million was the cost. And we had a higher price in diesel oil from R $4.80 to R$6.60. And the impact on each ton that is harvested two to three liters. So it's -- this is a very relevant cost and we had calculated R$50 million. Also the price and the effect in September, October, November, which had a strong impact on the semester's results, especially the last semester. So when we look at the revenue R$455 million, when we compare this with the previous year, and here we have R$80 million in volume and the difference comes from sugarcane, the less volume. We know we have a combination of the sale of real estate last year. In the six months, we had recorded part of the sale of a farm. We have another part that will be recorded in the next year. And we had the sale of part of a farm in Rio do Meio worth R$316,000. So we hope to continue this. When we look at the adjusted EBITDA, we see everything that we expected due to the impact of price and lower volume, which was estimated and we will explain in detail, but I'd like to say once again, and I've said this constantly, we're going back to historical margins, very attractive. Last year, we had a margin of R$10,000 per hectare. Now we're working with R$4.25. So it's important to have this vision. When you look at every six months, you see the impact. When you have a drop in price that happened last year, we -- so we had -- you have these -- this effect and this is the impact that we will analyze in detail. Well, everyone knows about this. This is the data for cattle. As I always say this, it's -- we use cattle raising while we transform the land. And it's a transition phase. So we have here the number of heads of cattle. We have been maintaining. Some of this area will be transformed in the next few years to arable land. And we have GMD. Here as you can see, I'd like to see that the highest GMD is in December, January, February, and March. So when we look at the semester, the semester includes one month of GMD. This is average daily gain in weight during the semester, the other semester it's a little lower. Here too we had late rainfall in Paraguay. So in Paraguay, we had a lower GMD in December and January. Today everything is back to normal. Rainfall has gone back to normal. So this is a picture of the semester. Well, talking about how the company is positioning itself. Let's look at 2022, 2023. The company has 65% -- 68% of the soybean sold at a price of R$14.62. I'd like to remind you, we began to sell products with soybean at R$12.13, R$13.20, R$13.70. So today we have an exchange rate, as I mentioned around R$5.52. So our exchange rate R$5.52, the other crops we're making progress less in corn. Most of this corn is second crop. In Mato Grosso cotton, the opposite cotton is a crop that you sell more rapidly and you have interesting operations in the beginning. We have sold more than 60% of cotton at the price of R$0.87, R$0.88 per pound. And here we sold at a time of volatility in with the exchange rate and the months before the elections in Brazil. We sold at R$5.70 per dollar. Unfortunately, Brazil is not a recurring model for sugarcane, but we're hedging part of the production, especially in MaringÃ¡ entering the harvest, we did hedging of 34% and the initial graph today, ethanol is being sold for 2,600 per cubic meters and this is the price we used. Well, the next slide. Now I'd like to pass the floor to Gustavo, our CFO, and he will talk about the numbers.
Gustavo Lopez: Thank you, Andre. Welcome to our conference call here. Let's begin first on lower volume, which was estimated and especially due to the fire. So in the end, this had an effect of R$360 million. So in the adjusted amount, we see a combination of two activities. The sale of farms and operations, R$124 million, last year R$600 million. The difference is R$250 million due to the sale of farms. And the other difference, R$180 million is due to the price of sugarcane and R$50 million, the higher costs, especially in sugarcane. On the next page, we prepared, these are the three main activities. This is some detail about what I mentioned. We knew that this year we would have 35,000 tons of soybean last year, 83,000 tons. Last year, we had an EBITDA to recognize during this semester, this year we anticipated the sale of soybean. The prices that we sold for were very similar. The cost when we look at Reais per ton, the cost was higher and the margin began to be adjusted at 30%. Last year, we had an extraordinary year, 50% margin for grains, and 65% margin for sugarcane. But when we compare with the last year, especially when we look at the cost, chemicals, fertilizers, and diesel oil, as I mentioned for sugarcane, this affected the contribution margin. When we look at corn in the middle 114,000 tons, and we sold almost all the inventory. The prices were a little higher, 7% higher, but the cost also went up. So here we have the price of fertilizer, and this is generated a lower contribution margin per ton, 30% margin. Sugarcane on the right, we're looking at the semester, we see that the price of sugarcane began very high, and then prices began to drop with floor in September, then going up in October, November. But during the 12 months, we saw that the price is still high. Prices are still high. We have a big -- large difference in this semester. Last year, R$200 per ton, and I remember that 60% of our production, we have a contract with a premium of 20% and this leveraged even more this price showed during the -- in the -- in these six months, we see the price per ton and also the ATR, which Andre showed and so the margin, when we look at the full harvest, the margin is 30%, 35%. But we highlight last year when we had R$230 million, we had a margin that we had never seen before. And when we look at R$118 million in the same amount of land, we see that there is a margin of R$4,500, R$5,000 per hectare still above if we consider that EBITDA R$8,000 extra because of depreciation. But if we consider this, we see that margins are still high. Here we made all the adjustments eliminating all biological aspects, and we see sugarcane represents between 35%, 40% grains a little more. Here as I said, in the next six months, we will have the total harvest for soybean 150,000 tons of corn and all this will be in the result and will be represented in a bit. On the next slide, we will see debt. We said that we have a company, we have -- we are not very leveraged when we look at receivables. So we don't have high leverage R$550 million without considering Alto Taquari farm, which we will deliver. The farm we will transfer because it was sold and we will be receiving the payment next year. So here this is our debt R$560 million. In the last quarterâs we took out a loan with an interest rate of 10.5%. This allows us to continue to have a debt that is low; the interest rate is lower than the CDI rate. And we're working with a debt that is a little longer. We did this to buy some inputs, especially for the next harvest. And we have a cash R$300 million in cash in adjusted EBITDA, a net debt -- net adjusted debt is very low. So in terms of debt, the company is very healthy. And now the evolution of our shares, share price. Here as always, we believe we have a great opportunity to have a higher price for our shares. We have prompt -- we know that this was foreseen as we mentioned due to the price of commodities, especially sugarcane, we don't control the prices. We are always doing our best to guarantee the productivity, but still we understand that the company has a great potential selling farms, having good harvests and especially the company will also continue to transform cattle raising land into farmland. And we understand that there are excellent opportunities for investments. Thank you. And now we'd like to begin the Q&A session.
A - Ana Ribeiro: Thank you, Andre. Thank you, Gustavo. We have a few questions. But first we will hear Thiago Duarte from BTG.
Thiago Duarte: Good afternoon. Can you hear me?
Gustavo Lopez: Yes. We can hear you very well.
Thiago Duarte: Thank you, Gustavo. Good afternoon, Andre, Gustavo. Two questions. The first involving the results from the sugarcane operation. You talked a lot about the price of sugarcane, the ATR ethanol. Yes, you gave us good information on Slide 13 -- Slide 12 or 13 about the gross results. But when we look at the results in the quarter -- when we look at the quarter, what really hurt more than price was the cost during the quarter with the strong drop in productivity and relevance increase in the price unit price. So does this make sense? The cost was much higher than the average cost of the semester as you show, but more than this, I'd like to understand. First of all, do you believe that the cost per hectare that you projected for this harvest 2022, 2023 of 10,300, does this still make sense in spite of the result of this semester? And, how much do you believe there will be a drop in the price of cost when we believe productivity will increase in your region next year? So I'd like to know about this. And the second question. Andre, in one of his comments to the press yesterday night, Andre was very optimistic in relation to the sale of land. So if you could give us more details where you see opportunities to sell farmland. I believe that there are more opportunities to sell land than to buy land.
Andre Guillaumon: Thank you, Thiago. Very good questions. Gustavo, would you like to begin with the cost allocation and the impact due to the drop? Then I can talk about the cost in the future and sale of land.
Gustavo Lopez: Thank you, Thiago. In fact, yes. If we look on Slide 13, we will see that we have R$50 million in higher costs. Higher costs equivalent to R$50 million in Reais this represents 45%. This is what we estimated in price increase, the price of diesel oil, the impact of fertilizer prices. What you said is true. What happened in the last quarter, the area that suffered the fire that was burned? We prepared strategies to avoid having impact in the next harvest. So we bought some inputs. We began to use some fertilizers. And when you look at the last quarter, yes, there is a great impact. Now we have to understand that we have a higher cost. When you have 200,000 tons less, the price per ton also goes up. So this increase is that's why it's this high. So in fact, for next year, we want to avoid this impact next year. We want to maintain our revenue and we understand that now we have to begin looking at costs. There's news about a drop in the price of diesel oil. This has a great impact. There will be a drop in diesel oil. So we have to revisit our costs.
Andre Guillaumon: Thank you, Gustavo. Supplementing this issue of costs. Gustavo explained well. Thiago, we begin to see prices. Recently there was news about a lower price of diesel oil. This has a great impact. I was talking to investors and I made a calculation in the soybean harvest you use 12 liters per hectare diesel oil. In sugarcane, you spend 170 liters of diesel oil in the harvest. So there is a great difference. So when we look at our forecast, we saw an increase in the use of diesel oil -- in the price of diesel oil. So when we look at 2021 diesel oil used to cost R$3.80 and today it's twice R$6.80 per liter. So it's twice the price with this impact. Well, second question. When we talk about land, sale of land, purchase of land, there's an interesting thermometer. In the last few months, there has been a great interest in buying our assets. Brazilian agriculture is not separate from other things, but in a certain way farmers still have a good liquidity. We had a year; we're talking about margins of 28%, 32%. When we look at this, we cease -- I made a calculation this morning, when we look at the cost of production of a hectare of soybean last year, R$31, R$32, to produce a hectare. Today the price has dropped to R$28. And with this, I always say that what brings liquidity to the farmer is a good harvest even more than good prices. I always say the farmer tolerates greater fluctuations in price, but they don't tolerate fluctuations in performance. So we're looking at a very high harvest in the Midwest and in the state of Bahia, in Bahia, we should have a record harvest. So we -- there's a lot of liquidity and that we're going to capture this. This is for the sale of farmland. So we will probably have more sales in the next few months. We're looking at purchase too. We -- so you can expect that the company, everyone asked me, how much will you sell? And I say, look at the last five years, this is what we want. So it's important to say that during the last year, we made purchases in 2021. Now we had a small sale, but it becomes important in the last six months, it became important.
Thiago Duarte: Thank you. Very clear.
Ana Ribeiro: Thank you, Thiago. Now Pedro Fonseca.
Pedro Fonseca: Good morning, Andre, Gustavo, Ana. Thank you for the opportunity. First, a follow-up of Thiago's question. I'd like to confirm about sugarcane. In terms of production productivity, it makes sense to think of a recovery in the next harvest going back to 2100 which you had estimated for the harvest in 2022. Is that correct? And the second concerning what Andre mentioned in the beginning of the presentation, that the company was seeing new prices. So today, we have a good situation in performance. What can we expect in terms of hedging in the short-term hedging? Do you see an opportunity in a certain commodity or not? Thank you.
Andre Guillaumon: Thank you, Pedro. Okay. I'm sure that we're recovering. Yes, there's a detail. It's difficult to see this impact, but when we had the Coronavirus, beginning of the pandemic, no one knew what would happen. And like every company, we also be disaffected the planting of sugarcane. And also we discussed this, this week. So in 2020, we preserved cash. Now we -- last year, we planted -- we are planting an important amount of sugarcane. Yes. We're expecting a recovery for this reason and also a recovery because we're in making important investments in irrigation. Irrigation for our plantations in MaringÃ¡, we're installing more piping, more irrigation equipment and sugarcane. Sugarcane grows with fertilizer, sun, and water. So we should have a good result. In the Midwest, sugarcane is doing very well. We expect a good recovery in Midwest, which is what is happening in the center in South, Brazil going from 540, going back to 740 million tons. Now in terms of performance, in the morning, we had a meeting and we discussed this point this morning. Yes. We're making progress with more hedge -- more hedging because we begin, we have -- we're very cautious until we get the first estimates. And today, we began to receive the estimates, the farms that will begin harvesting the next 15 days where estimates were already made. These estimates are favorable. So there is a trend to sell more especially soybean and still -- and with this price -- a good price in Chicago. So this is the recovery. Pedro, you say what opportunities are you seeing? We saw -- we have two things we're looking at and trying to capture. One we captured part of already, we saw recently you must also follow cotton. We saw a strengthening of the premiums for cotton. We always worked with more negative bases and now we're closing cotton in the next harvest with 500. Just to remind you, we were selling at 250. Now we see a recovery in basis points for the next harvest an important increase. And when we see a recovery in basis points, we can be more aggressive in the sale. In the case of soybean, there is a great concern in the market and maybe an opportunity, a super harvest that is arriving. But we have two factors that we're discussing. We have the farmers selling points is low, farm selling is low. Second, we have the main ports, especially in the South, that so there's a great opportunity, this can happen to strengthen the basis. Talking about this during harvest, it's difficult to believe I know, but there is a lack. There is a lack of soybean. China will buy soybean again from Brazil. So high prices in Chicago and strengthening of the basis where we see this on a regional basis. So in our cases, we're looking at each region, each farm, looking at logistics. So the strengthening of basis will not happen in the same way. For example, it will not go up everywhere. We believe there are some regions, some corridors that will have bottlenecks. While we have bottlenecks, there may be a drop in the premium. So we're monitoring the opportunities and when you ask me about new things, I would say basis of cotton and a lot of attention in the basis of soybean in the next few months. Thank you.
Ana Ribeiro: Well we received; I will join here two questions from Vinicio . What are the perspectives for the next quarters concerning the recovery of historical profits? And if we can go back to historical profits in 2020 -- that we had in 2022. And also Claudio, question concerning the margins of the main products. We stressed that in the last two years, they were well above the historical averages. Can you talk about the historical averages and prices we can have in the medium-term?
Andre Guillaumon: Well, Vinicio  and Claudio let's begin with profit. Yes. Last year, as we said, we had a perfect combination. So we have a commitment. The company will continue to grow, increasing leasing, purchases, operations. Now the picture of last year in terms of sugarcane, when we talked about margin, we had a margin of R$10,000 per hectare. So in the next few years, being realistic, we can -- we believe that the margin per hectare for sugarcane will be R$5,000 or R$6,000. When we summarize margin and crop, we would have a soybean with the cost reductions I mentioned. We're talking about historical margins of soybean around R$30, R$40. This is what we see. Now, the different thing, what is challenging is the margin for corn. Corn has been a crop that in the second crop has been very profitable and Brazil is exporting a lot of corn. We have two challenges in corn. The increase in exports, and of course, there is a bottleneck in logistics. We're talking about Brazil with 130 million tons. In 2030, we will have 180,000 tons, so 180 million tons. We have two large drivers that have to grow, the exports, production and consumption of ethanol from corn -- ethanol made from corn. I see this with; there was a lot of optimism the ethanol used in the market and exports. Now corn was always had highs and lows. So depending on the domestic market, when we look at corn in the long-term until 2030, we will be important exporters and the local industry using corn will try to have a more regulated supply. So we have -- I wouldn't call it a recovery in the case of corn, we have different profit levels. In the case of cotton, it is leveraged due to the growth of income around the world. And cotton, even with the pandemic is -- has less growth. In the case of cotton, the way I see this, there is competition with synthetic fibers. I believe that oil at $80, $90 will make cotton advantages. It cannot compete with corn and soybean. When you look at the capital invested, cotton with a margin of 4,500, 5,000 per hectare. So when you look at the investments, it's 30%. When you look at soybean, you're also talking about R$4,000 with a lower investment. So I will tell you that to help you in your forecast, soybean 30%, 40%. Now corn, second crop six years ago had no margin, and now we have a margin of almost half, half, half of the margin of soybean. This year was even better. This year corn was similar -- very similar to soybean and cotton. Now, sugarcane, I'm optimistic in the medium and long-term with the carbon footprint. Ethanol we know is better. So when people buy fuel, they buy ethanol. It's a clean fuel and this is being seen all over the world. So the ethanol market is important. Another important point for sugarcane, another thing that is important that I see in sugar, we see important players, sugar producers using part of the production for ethanol, you have the mixture of 20%. Other countries are also using ethanol. We have an inventory of sugar. We have an inventory of sugar. The world has sugar for one month, so inventories are tight. Corn also inventory is tight around the world. We have a consumption of 1.170 billion and a consumption of 1.60 soybean too. I can see in the short-term, the same prices. I can see the same prices in the near-term; we have to look also at the exchange rate. All this has agreed influence, especially the exchange rate. So we're imagining that the exchange rate will be R$4.9 to R$5 per dollar.
Ana Ribeiro: We have a question from Julia . What's your vision in terms of the price for sugar and ethanol?
Andre Guillaumon: The million dollar question, Julia. That's difficult. Even with a crystal ball, I can't -- well, we have to look at the basis and then we see what we can expect. If you look at ethanol, we see Brazil growing production all the time. Brazil in ethanol, 27 billion liters of ethanol, Brazil with ethanol from corn 4.5 billion, ethanol from corn billion liters. We saw an important growth. When we look every year, the growth of almost a billion liters in one year growth. And we see also exports -- ethanol exports that are now higher and higher. This year we exported 2.5 billion liters of ethanol. So we're beginning to position ourselves as a country that exports ethanol. When I look at this, you can see a more regular price because you have domestic market that is very strong and an export market demanding Brazilian ethanol. In the case of sugarcane, when we look at India. India, the fluctuations we have in the regions sugar unfortunately without Brazil, it's produced in monsoon climate regions. They are very erratic. These other regions outside Brazil, one year, a lot of rainfall, another year without rainfall and sugarcane depends on this. So it's a product that is always with highs and lows. Now, but you also -- sugar is the cheapest energy in the world. When we look on a worldwide level, we see still regions with a lot of poverty. Sugar is very important in some countries for food. So when we look at all of this, we see ethanol becoming, growing and becoming interesting. We see sugar linked to climate fluctuations and a new driver. Some new countries producing ethanol. If we look at historical prices, I would expect historical prices higher than in the last 10 years for these two commodities. But we have annual fluctuations too.
Ana Ribeiro: Many people thanking us and many -- we have some questions that were already answered. What the company is thinking about dividends, whether we will have an intermediate dividend. This is not in the radar and what we expect. That's the billion dollar question. The billion dollar question. If we expect higher share prices and will we buy back shares? That is another question whether we will buy back shares.
Andre Guillaumon: Okay. Well, dividends, the company's policy, you have heard us when we have good results due to the sale of farms, and this has been happening. We're very aggressive in paying dividends. It's very fair to pay back the investors that trusted in us. And if we need money to make investments, we will also request this. So now we have seen that my guess, one to five. When we have good projects, we will be less aggressive in paying dividends. When we have less good projects even with projects, in the last year, the company did the following. The company sold, lease, and buy last year. This is what we did. We sold, we leased and we bought. So when you have a portfolio becoming mature and then you be -- you sell more. And we know that most of our gains, most of our profit comes from the sale of land. In the next few years, we will see this. Now in buying back shares, we discussed this a lot last year. We will never make a decision that everyone will be having. Some shareholders wanted dividends; others wanted us to buy back shares. So in this scenario, the best we can do is giving the money back to shareholders. And if they want to buy, they can buy shares. The company has a good liquidity. In the past, you said either I pay dividends; people want dividends to buy more shares. So it made sense to buy back shares. Today, our company has a much better liquidity after the follow-on R$20 million. So this changed a lot. So today, if I use the investors' hat, if I -- if there's liquidity and if I want to reinvest, I can buy. So shareholders now has -- have more options than in the past when we didn't have liquidity. So we -- there's nothing in the radar concerning buy back -- buying back of shares. But this can change if we believe the prices are discounted, we might decide to buy back shares. If we believe that we don't have good land to buy and that we will and if we have resources left over after paying dividends, we could in the future buy back shares. But we don't have that in the radar.
Ana Ribeiro: The value of the shares.
Andre Guillaumon: Yes. I always say there's a great challenge. So our team is always looking at this. When we began, we had NAV 1.6, 1.3. Today, an NAV, which is much higher when we look at the company, the shares -- the price of shares should be R$40, our shares had to be worth R$40. So when we look at the NAV in the past we're always increasing the company's NAV. So I always say that we're looking at this, we increase NAV and we close gap. But this is good. The company's always growing. So it's a good investment. It's an investment that has brought an excellent profitability for investors and will continue this way. When we paid 16% dividend yield, 16% plus the appreciation of the land, it was a spectacular profitability. The company pays dividends and is always growing. We're increasing the NAV. We're increasing the operation. We're generating more cash flow. So I have no doubt that there things should improve much more.
Gustavo Lopez: Andre, just supplementing your words. So in the last five, six years, we paid R$1 billion in dividends and the company is strong, R$280 million in cumulative results and we mentioned that we still -- we sold farms and we will receive the payment. Now, in terms of the price of shares, what we have seen, many people look at the company, looking at cash flow. And although, we have been buying and selling farms every year, but I believe that we have a challenge to increase the planted area and generate more cash. Recently, we leased farms. There is one that was acquired and has a potential for a crop in a second crop. Its pasture land. We're transforming into arable land. And with this, we believe that with the cash -- with this, we would have more cash flow. This is what we want. This is what we're after on a permanent basis, growth -- a growth of 10%, 12% a year in planted area.
Andre Guillaumon: Fine, Gustavo.
Ana Ribeiro: Well, we're running a little late, but we have some questions from Gabrielle, which is important. Let's see. First question, the last quarter apart from sugarcane, we had a drop due to the sale of soybean. What is the sale strategy this semester and why did we have less revenue and volume? The increase in short-term debt and would you extend the maturity of this debt? And whether it's time to sell and also the cost of freight? Is it going down or is the price of freight still very high? No, we could talk about this for another two hours.
Andre Guillaumon: Okay. Let's talk about the revenue. Freight, we're not seeing lower prices in freight. We see signs in the -- of dropping the price of diesel oil, harvest is arriving. Where prices are not going up, but we don't see the price of freight going down. In terms of debt, the company is -- we have cultivated areas 170,000 hectares and this needs a lot of working capital. And since we have been working with some banks for a long time, yes, you saw growth in debt. But as Gustavo said, it's a short-term debt. But with a price that is lower than the CDI interest index. It's a loan for working capital. The company is growing a lot. Five years ago, we had a working capital of R$200 million. Today, we have a working capital of R$700 million every year. So we have a growth in area and also we had to grow the working capital. Third point, the profitability is, we make decisions to sell when we believe that the price of an asset is going down not due to operations, not due to commodity prices, but because of higher prices of assets, we know it's time to sell the farmland. This is the logic. Now concerning the strategy of selling grain, every year you have a different situation. So we explained the fluctuation in quarters. Some years we see a certain curve. What I can tell you is the strategy in the near and medium-term has new factors for decision making. So two, three years ago, with an interest rate of 2%, 3%, 4%, 5%, you would say, I can wait more or less. The way we see it today, you have to be very efficient because you can wait to sell soybean in April, May or in September, but you will have a cost of one point something a month. So the sales strategy is always to have this the best profitability. So we see the price and the cost of capital in the period. If we believe it makes sense to hold the grains we hold. In some regions, you have to hold the sales due to logistics. I'll give you an example. In Xingu, we have a problem for soybean. The whole region has because of the roads in Pio XII, the opposite; it's easy to export from the Itaqui port. And so the sales strategy to hold back or to sell is cost of capital. And these points that I mentioned.
Gustavo Lopez: Well, Andre. Andre, you answered the question, but what we do, we have a capacity for 40%, 50% of we can hold back 40% to 50% for the next semester. As Andre said, we had logistics problem and trading companies were paying premiums. So since the premiums were highly anticipated, the sale of this inventory in the last semester of last year. So this decision, Andre mentioned premium cost of freight with a cost of 3% we couldn't hold. So we look at logistics, inventory to sell 40%, 50% of the harvest. Every year, we make decisions based on these points.
Ana Ribeiro: Well, I believe this is it. If we have more questions, please get in touch with us in our Investor Relations department. I will be available to answer any other questions you may have. We're running a little late and someone said, we might, we will -- we could spend all afternoon, but unfortunately we have to close the meeting. Thank you very much, Andre, Gustavo, for your time. We had a very good participation and I hope we clarified all the points. And now I'd like to pass the floor to Andre for his final comments.
Andre Guillaumon: Thank you. Well, once again, thank you for trusting for your trust. I would say that once again, since we have a good participation, many participants, we've said this in the media and even in the other calls; I'd like to reinforce one point, the company's ability to work with people. We were recognized with the award Great Place To Work, one of the five best companies to work in agro business. And I repeat this recognition shows the sustainability of the business. It's not only myself, Andre and Ana Paula. We had such a good award because we have a team that is engaged, that is focused. So once again, I'd like to thank the investors for the trust in our team. This work will continue working with people, revisiting our strategy, looking at everything and making the company grow. Thank you. We wish you a good afternoon.